Leila: Good afternoon, everyone. My name is Leila, and I will be your conference operator today. At this time, I would like to welcome you to Ulta Beauty's Third Quarter 2025 Earnings Call. This conference is being recorded, and all lines have been placed on mute to prevent any background noise. After the speakers' prepared remarks, there will be a question and answer session. At this time, I would like to turn the call over to Ms. Kiley Rawlins, Senior Vice President, Investor Relations. Miss Rawlins, please proceed.
Kiley Rawlins: Afternoon, everyone, and thank you for joining us for a discussion of Ulta Beauty results for 2025. Hosting our call today are Kecia Steelman, President and Chief Executive Officer, and Chris Lialios, Interim Chief Financial Officer. As a reminder, today's earnings release and the comments made by management during this call include forward-looking statements. These statements are subject to risks and uncertainties that could cause our actual results to differ materially from our expectations and projections. These risks and uncertainties include, but are not limited to, factors identified in the earnings release and in our most recent 10-K's and 10-Q filings. The company undertakes no obligation to revise any forward-looking statement. And as always, the IR team will be available for any follow-up questions after the call. Now I'll turn the call over to Kecia. Kecia?
Kecia Steelman: Thank you, Kiley, and good afternoon, everyone. The Ulta Beauty team delivered another quarter that exceeded our expectations. For the third quarter, net sales increased 12.9% to $2.9 billion. Operating profit was 10.8% of sales and diluted EPS was $5.14 per share. These results highlight the expanding relevance of the Ulta Beauty brand for our guests, the favorable impact of investments that we are making to support our long-term strategy, and the continued commitment of our teams. Today, I'll take a few minutes to outline the key drivers that fueled our outperformance, update you on our progress against the Ulta Beauty Unleashed strategy, and discuss our outlook for the upcoming holiday. As I reflect over the past eleven months in my role as CEO, I'm incredibly proud of the steps our teams have taken to accelerate our top-line growth, increase our market share, and how these actions continue to resonate with our guests and drive our results. The third quarter highlights are a clear result of these actions and include comparable sales growth of 6.3%, positive comps across all categories and channels with notable double-digit strength in our e-commerce results, continued market share gains in mass and prestige beauty including prestige market share gains in both brick and mortar and digital channels, loyalty member growth of 4% year over year to a record 46.3 million members, and ongoing improvement across several key performance indicators including brand engagement, earned media value, and app engagement. The investments to support our Ulta Beauty Unleashed strategy are fueling our strong top-line results. At the same time, we know we have opportunities to tighten SG&A spend and optimize resources to drive long-term profitable growth which will be a key area of focus as we turn to fiscal 2026. Before I dive into the drivers of our performance, let me touch on the beauty landscape more broadly. Despite a softening in overall consumer confidence in Q3, beauty engagement remained healthy. During the third quarter, both mass and prestige beauty markets delivered mid-single-digit growth, according to Surcana. Turning now to the key drivers of our performance, which center around our three strategic priorities: strengthening our core US business, scaling new businesses including expanding internationally to capitalize on key growth opportunities, and realigning our foundation for the future by streamlining our cost structure, optimizing our ways of working, and reenergizing our culture. Let me begin with our actions to strengthen our core US business which continues to power our overall results. We've been focused on the fundamentals and elevating our go-to-market approach through operational excellence, marketing leadership, and compelling merchandising innovation. Our enhanced go-to-market collaboration between our merchandising, marketing, and store teams has been a key unlock to improving our performance and we're leveraging this new approach to accelerate our brand-building digital and personalization efforts. In stores, our team's dedication to disciplined execution continues to underpin our performance. Stores are elevating and energizing the guest experience with improved in-stocks, well-staffed stores, friendly service, and engaging events. All translating into improving guest satisfaction results for the quarter. We drove solid in-store traffic and sales growth, with successful execution of key moments and events, including back to school, 21 days of beauty, and fall haul. In addition, we hosted nearly 33,000 in-store events across our fleet during the quarter. These unique activations included celebrity appearances, brand launches, brand education, and highlighted our differentiated in-store experience which truly makes Ulta Beauty an unmatched beauty destination for our guest. From a category perspective, all major categories exceeded our expectations and delivered positive comp growth against the third quarter last year. Fragrance sustained its position as our strongest growing category, delivering double-digit comp sales growth in Q3. Newness from luxury brands like Valentino and Dolce and Gabbana alongside compelling new-to-market brand launches from Miu Miu and Prestige and Squishmallows en masse resonated with the guest. This quarter demonstrated the power of our unique low-to-luxury brand assortment. In October, we also rolled out incremental shelf space for fragrance in more than 60% of our US stores, which we believe positions us to capture holiday demand and beyond for this important and growing category. Skincare, our second fastest growing category, delivered solid high single-digit comp growth driven primarily by the strength of prestige skincare, and solid growth of mass skincare. Our unmatched K-beauty assortment continues to resonate and drive skincare sales. In addition, prestige skincare also benefited from the highly successful launch of Fenty Skin Body exclusive to Ulta Beauty, and strengths in brands like Tatcha and Dermalogica. Mass skincare benefited from newness and social media virality in key brands like Bioma and Starface. In addition, our newly expanded wellness assortment also contributed positively to skincare performance. Makeup delivered another quarter of mid-single-digit comparable sales growth supported by growth in both mass and prestige makeup. Mass makeup growth was driven by compelling newness from brands like NYX, Morphe, and L'Oreal, as well as the benefit from market-wide price increases from select brands. Prestige makeup growth in the quarter was supported by a highly successful 21 days of beauty event with notable brand standouts being Estee Lauder and MAC within the event. Across the quarter, we also delivered strong growth across a number of our prestige brands including Hourglass and NARS and in our only-at-Ulta brand portfolio with newness in dibs. Our new K-beauty assortment in makeup is also driving strong growth. The hair care category delivered mid-single digits comps, fueled primarily by strong performance in prestige hair. Mass hair, hair color, and accessories also contributed positively. This growth was partially offset by sales declines in personal styling tools, which continues to navigate pressures from tariff-related price increases. From a brand perspective, major new prestige launches from Moroccan oil and Nutrafol along with guest favorites, Redken and Matrix, resonated with guests and delivered strong growth. Our exclusive brand, Sacred, continued to drive guests into the hair care category, and performed ahead of expectations. Finally, services delivered mid-single-digit comp growth in Q3, driven by strength in cut and color services, expanded brow services, and ongoing improvement in stylist productivity. During the quarter, we began offering benefit brow services in our salon, expanding capacity and convenience for our guest. Execution of our salon works workshop strategy featuring events like back to school blowout drove sales and member trial. Moving to our long-term strategy to enhance our assortment and brand-building capabilities. Overall, we are intensely focused on strengthening and modernizing our full low-to-luxury assortment. And during the quarter, we launched more than 35 new brands, many of which were exclusive. Our new brands are thoughtfully selected to drive incrementality and complement our balanced portfolio of the best brands across all categories, all life stages, and all price points. Strengthening our brand-building capability is key to this strategy. And we are focused on leveraging our unique advantages to be the retail partner of choice to launch, build, scale, and globalize brands. Our enhanced focus and capabilities are already delivering. With Beyonce's hair care line, Sacred, only available at Ulta being a great example of how we can uniquely unlock the power of 46 million loyalty members to launch and scale a new retail brand successfully in just a few months. Based on its first six months of performance, Sacred is the most successful prestige hair care launch in Ulta Beauty's history. Our K-beauty assortment is another example of our holistic brand-building strategy. With an already established stronghold in K-beauty skincare, with long-standing exclusive brands like Peach and Lily, we saw space for growing K-beauty trends in both skincare and makeup. We moved with agility to build a complementary and largely exclusive pipeline including a portfolio of new and many exclusive brands throughout 2025 like Anua, Medicube, Tiertear, Fui, and Unlecia. We have leveraged all of the Ulta Beauty go-to-market levers to drive excitement and awareness of these new brands attracting the next generation of beauty guests. Our core assortment is now being complemented with the recent launch of UB Marketplace, I will give you more details on in a moment. Shifting to marketing, we are elevating our marketing efforts to spark excitement and awareness, drive engagement, and attract and retain loyalty members. During the third quarter, we debuted our new brand equity campaign, beauty happens here on social and across traditional and connected The new campaign aims to inspire and reinforce that Ulta Beauty is where beauty lives and is the destination for all ages and all life stages. The campaign is already driving significant awareness gains broadly and with key cohorts and is also driving strong brand health In addition, we continue to leverage our integrated marketing efforts to support events and strategies. Including high impact merchandising campaigns like twenty one days of beauty in fall haul, designed to drive engagement and conversion against priority categories. Our exclusive only at Ulta brand launches and category plans reinforcing our leadership in a differentiated way, and culturally relevant activations like hosting Ulta Beauty's first ever multimarket experiential activation the College Glow Up Tour, in collaboration with her campus. The tour delivered product sampling and education for various exclusive brands like Polite Society, Isima, and SNF. Moving to our digital platforms, our investments to accelerate digital engagement and personalization are delivering results, and we continue to add capabilities that drive app engagement, enhance the guest shopping experience, and remove friction. From new features like replenish and save and wish list, to new payment choices like Venmo to doubling, shift from store locations to more than 1,000 stores we are steadily improving the guest experience and fueling our momentum. Our app engagement continues to grow and it accounted for 65% of our online member sales in Q3 up from 63% in Q2. In addition, buy online, pick up in store contribution highlights how guests value the powerful combination of our digital shop experience and the convenience of our stores. Next, turning to our second strategic priority. Scale new businesses to capitalize on key growth opportunities and ensure that we remain relevant in a rapidly changing world. Our international expansion efforts are building momentum and we are steadily growing our international presence. During the third quarter, we opened seven stores in Mexico, through our joint venture partnership with Grupo Vaxo. I had the privilege of attending the unforgettable grand opening of our first store in Mexico City. The energy was was palpable, and we had many key brand founders on-site. Including Isima founder and Grammy winning musician Shakira, to celebrate this important milestone for our business. In addition, the first Ulta Beauty store opened in The Middle East in Kuwait last month through a franchise partnership with Al Shai App. Similar to Mexico, the guest response to our arrival in The Middle East has been very positive and our grand opening celebration which featured Orabella founder, Bella Hadid, was an exciting way to introduce Ulta Beauty to this new market. We are excited about the uniquely Ulta Beauty experience and curated assortments that we are bringing to these markets which feature a mix of local brand favorites, exciting new to market brands, and only at Ulta exclusives. We are encouraged by the strong positive guest responses that we're seeing and excited excited to expand our presence over time. Finally, in The UK, Space NK continues to perform well and our teams are making important progress in integrating SpaceNK with the rest of our business. I had the pleasure of spending time visiting stores in The UK with the incredibly talented Space and k leadership team, during the quarter. I remain excited about the opportunity to transfer learnings across markets to elevate our business globally and capture even greater growth opportunities in the future. Turning to marketplace. We reached a key milestone with the successful launch of UB Marketplace in the third quarter. Through our Marketplace initiative, we are expanding our assortment for our guests, offering a broader and complementary array of beauty, wellness, and lifestyle products from both established and emerging brands on ulta.com. With minimal inventory risk to our business. We launched the platform in late Q3 curating the addition of more than a 120 brands and over 3,500 SKUs to our online assortment. We are pleased with the initial performance and optimistic about how new capability can help us strengthen our existing category authority attract new guests, and capitalize on incremental growth opportunities to new subcategories like luxury, professional, and wellness. In wellness, we're focused on leveraging our position as a trusted guide to expand more meaningfully into the vast and growing wellness category. We believe we are uniquely positioned to meet guest wellness needs in approachable, welcoming ways that celebrate a guest individual's journey In the third quarter, we continue to add new brands to our assortment. Like Therabody, Bird and Bee, and Hatch Sleep products, and continued our in store expansion efforts with the introduction of elevated fixtures, in about 50 stores. These investments will enable us to learn more about guest engagement and help us tailor the assortment as we continue to build upon our approach to maximize this key growth initiative. Turning to our third strategic priority, realigning our foundation for the future. During the third quarter, our supply chain and IT team successfully completed the retrofit of our Dallas distribution center, introducing advanced automation and robotics, an upgraded warehouse management system, and a new warehouse execution system. We incorporated key learnings from prior retro fits and executed this upgrade flawlessly. We expect these upgrades to strengthen our foundation, further enhancing inventory flow and increasing capacity. As I've shared previously, one of my top priorities has to make sure that I have the right leadership team in place to drive our future growth. And I couldn't be more pleased than to welcome Chris Delorphis to Ulta Beauty as he assumes the role of chief financial officer tomorrow. He joins us from Becton Dickinson where he serves as CFO for the last four years and brings more than thirty years of diverse corporate finance experience. I wanna express my gratitude to Chris Lialios our interim CFO, for his partnership and leadership during this important time of our business. And, thankfully, he's not going anywhere. He will continue his role as SVP and corporate controller and help ensure that we have a smooth transition. In addition to shaping our leadership team, I've been keenly focused on reenergizing our culture, Over the past several months, I've had the opportunity to spend time across our broader organization. From store visits in key regions to walking the floor of our distribution centers, and engaging with our international teams and partners. I've been truly inspired by the energy, pride, and purpose that our teams bring to their work. These visits strengthen my belief that our success is built on people. Their commitment to our values, their relentless focus on the customer, and their ability to adapt. Finally, to our plans and expectations for the upcoming holiday. Our teams have been hard at work to ensure that we're well positioned to deliver a strong 2025 holiday season. Hiring and onboarding seasonal associates developing compelling holiday assortments and merchandising strategies, creating bold celebrity glam filled marketing plans, all offered in festive, fun, and easy to shop stores and digital channels and our supply chain is ready and ready to deliver with speed. The holiday season is in full fight. And we're pleased with our Black Friday and Cyber Monday performance. At the same time, we know the biggest selling weeks are still ahead of us, and we are mindful of the challenging macro backdrop. Our insights suggest beauty consumers' budgets are tight, and they are focused on value. Despite this, beauty enthusiasts tell us that they intend to spend on beauty for seasonal needs, affordable splurges, and gifts for loved ones. They are focused on replenishing their essentials and strategically making smart purchases around strong value, holiday limited editions and deals, and early gift set drops. We will leverage these key insights to ensure that we're staying relevant and delivering for our guest during this important holiday season. We are confident in our plans and the improvements that we've made. And our teams are ready to go make holiday happen here at Ulta Beauty. Driving excitement and delivering for our guests and their loved ones. I wanna close by expressing my gratitude to our teams and partners across the globe. Their efforts are driving meaningful progress and positioning us well for the long term value creation. And with that, I'll turn it over to Chris to cover the financial results for the third quarter and our update financial outlook before we take your questions. Chris? Thanks, Kecia.
Chris Lialios: And good afternoon, everyone. I'll begin with a discussion of our consolidated third quarter results and then share our expectations for the fourth quarter and full year. As a reminder, our results for 2025 include financial results for Space NK, which was acquired in July, and is not material to our consolidated financial statements. The Ulta Beauty team delivered strong performance again this quarter, reflecting better than expected growth from comparable sales, favorable shrink results, and stronger merchandise margin. Consolidated net sales for the quarter increased 12.9% to $2.9 billion compared to $2.5 billion last year. During the quarter, we opened 28 new Ulta Beauty stores, remodeled 15 stores, and closed one store. We also opened two new Space NK stores, relocated one store, and closed one store. We ended the period with 1,500 Ulta Beauty stores and 84 Space NK stores. Comparable sales increased 6.3% driven by a 3.8% increase in average ticket and a 2.4% increase in transactions. Other revenue increased approximately $8 million versus the third quarter last year. Looking at the cadence of comp sales through the quarter, growth was fairly consistent across all periods. From a channel perspective, both store and digital channels contributed to comp growth. With e-commerce sales increasing in the mid-teen range and comp stores delivering mid-single-digit growth. Consolidated gross margin for the quarter increased 70 basis points to 40.4% of sales, compared to 39.7% last year. The increase was primarily due to lower inventory shrink and higher merchandise margin, which was partially offset by adverse channel mix reflecting strong growth from our digital platforms. Our team's focus on reducing inventory shrink while also delivering great guest experiences continues to produce meaningful results. Our investments in fixtures and process improvements as well as focused associate training and store-specific action plans have delivered shrink reductions across every category and almost every region. Merchandise margin increased this quarter primarily due to the timing of market-wide price actions from select brands and more effective promotion strategies. These benefits were partially offset by unfavorable category mix. While many of our brand partners continue to be cautious about passing through tariff-related price changes, we saw more brand-driven price increases in Q3 as compared to Q2. Reflecting on our average cost inventory valuation methodology, we often see a short-term benefit to cost of goods as we move through the lower cost inventory after the retail price change is executed. Merchandise margin in the quarter also benefited from greater promotional effectiveness. We delivered strong performance from key events including 21 days of beauty and fall haul. And eliminated unproductive offers. As a result, the impact to merchandise margin from promotional activity was lower than last year. Moving to expenses. Consolidated SG&A increased 23.3% to $841 million. SG&A growth was elevated this quarter primarily reflecting higher incentive compensation, the impact of Space NK, and the timing of investments we're making to support our Ulta Beauty Unleashed strategy. Excluding the impact of incentive compensation in Space NK, SG&A growth for the quarter was about 14%. As a percentage of sales, SG&A increased 240 basis points to 29.4% compared to 27% last year. Largely due to higher incentive compensation reflecting our better than planned performance as well as the lapping of a benefit from lower incentive compensation in the third quarter last year. Higher store payroll and benefit expense, store expenses, and amortization of cloud-based software investments also deleveraged as a percent of sales. Store payroll and benefit expenses increased primarily due to additional selling hours to support the guest experience and higher health care costs. The deleverage of store expenses largely reflects higher supplies to support key merchandising initiatives and inflationary pressures. The growth of cloud investment amortization reflects the impact of technology investments we are making to support our long-term growth. Over the last several years, we've upgraded key elements of our technology infrastructure including our ERP system, digital store platform, POS systems, data infrastructure, and critical supply chain systems. With this foundation in place, this year, we've invested in new go-to-market capabilities including marketplace, personalization, and other digital enhancements to support the guest and associate experience. Many of these investments are cloud-based arrangements, and as we launch and operationalize these capabilities, we are experiencing higher operating expense. While these investments are driving near-term expense pressure, we expect they will support long-term revenue and market share growth. Operating profit was $309 million compared to $319 million last year. As a percent of sales, operating margin was 10.8% of sales, compared to 12.6% last year. Wrapping up the P&L, diluted earnings per share was $5.14 per share or flat to last year. Moving to highlights from the balance sheet and cash flow statement. We ended the quarter with $205 million in cash and cash equivalents and $552 million in short-term debt. Similar to the third quarter in past years, we leveraged our revolving credit facility during the quarter to support working capital needs and ongoing capital allocation priorities. Including share repurchases and capital expenditures. As a reminder, we funded the Space NK acquisition in Q2 with cash on hand and borrowings under our existing credit facility. Total inventory increased 16% to $2.7 billion compared to $2.4 billion last year. Primarily reflecting additional inventory to support new brand launches, Space NK, and the impact of 63 net new Ulta Beauty stores. Capital expenditures were $87 million for the quarter, mostly driven by investments in new and existing stores and IT systems. Depreciation increased 13% to $76 million compared to $67 million last year. Largely reflecting store investments. In the quarter, we repurchased 427,000 shares bringing the year-to-date total for our share buyback program to 1.7 million shares or $693 million. At the end of the quarter, we had $2 billion remaining under our current $3 billion repurchase authorization. Turning now to our updated outlook for the year. We have increased our fiscal 2025 guidance to reflect our third quarter results as well as our updated expectations for the fourth quarter. For the year, we now expect net sales will be approximately $12.3 billion with comp sales growth between 4.4% and 4.7%. We now expect operating margin will be between 12.3% and 12.4% of net sales. With the deleverage driven primarily by SG&A. We expect gross margin will be roughly flat for the year. Reflecting these assumptions, we expect diluted EPS for the year will be between $25.20 and $25.50. With one quarter left in the year, I want to share how we are thinking about Q4. We have increased our outlook for revenue growth but believe it is prudent to continue to take a cautious view of consumer spending this holiday season. Given the dynamic macroeconomic and operating environment. Reflecting our performance through Cyber Monday, we now expect Q4 comp growth will be between 2.5% and 3.5%. For Q4 modeling purposes, we expect operating margin will be between 12% and 12.3%. Driven by gross margin and SG&A deleverage. And we expect EPS for the quarter will be between $7.61 and $7.90. And now I'll turn the call over to our operator to moderate the Q&A session.
Leila: We will now begin Q&A. Again, that's star five on your telephone to ask a question. Please limit to one question before jumping back in the queue. Thank you. We will now pause a moment to assemble the queue. Our first question will come from Lorraine Hutchinson with Bank of America. Your line is now open. Please go ahead. Can you talk about what you're hearing from brands about pricing? The 3.8% ticket comp was very impressive. Do you think this might build in the coming quarters?
Kecia Steelman: Hi, Lorraine. Thanks for the question. I would say that, you know, we generally have pricing increases, you know, quarter to quarter as brands come through. And there were plenty of publicly traded companies that announced that they were taking price increases, Elf, Cody, and Helen of Troy, just to name a few. That, you know, we were seeing some price increases with this quarter. Chris, maybe I'll let you give a little bit more color around what the pricing increases look like for the quarter. But, you know, pricing increases are not new in this part of the business and I think that we saw anything that was, like, extraordinary by any means, Chris.
Chris Lialios: Yes. Hi, Lorraine. Thank you for the question. As we mentioned, we are starting to see more market-wide price increases come through in this with select brands. Versus Q2. But, you know, we continue to work with our brand partners to understand how they're thinking about tariff mitigation going forward and price increases. And they are being very thoughtful, considering the consumer wallet pressures and making sure that we continue to provide value to our guests. As far as how the price increases flow through the P&L, as I had mentioned, there is a short-term benefit to cost of goods as we sell through the product. But eventually that catches up as we sell through the older product and we replenish with newer product.
Leila: Your next question will come from Steve Forbes with Guggenheim Securities. Your line is now open.
Steve Forbes: Good afternoon, Kecia, Chris. Kecia, you mentioned app engagement and also app online sales penetration. So I was curious if you can maybe just give us more color around what you're seeing from a consumer standpoint and whether consumers are actually migrating to purchasing across channels as you think about the mix of customers that are maybe dual channel purchasers versus single channel purchasers? And the reason I asked, right, is you think about that 15% or mid-teens e-commerce growth profile it's sort of indicative of, you know, really strong wallet share and market share performance. So just trying to gain conviction around you know, what's driving that.
Kecia Steelman: Well, thanks, Steve, for the question. What I would like to highlight first is that we've had strength in both categories because stores are continuing to grow too. And if you look at the percentage of our business, 80% of our business is still coming from stores. Our app engagement, we're really pleased with what we're seeing. You know, it grew 65% from 63% last quarter. And we are building on our momentum in e-commerce. We've had three consecutive quarters of double-digit comp. I think that a couple things that are playing into that. We've introduced new capabilities in 2025 that are really helping us strengthen our momentum in e-commerce. In Q1, we had split cart launching which, you know, made you could you could pick it up in the store. You could have something you sent to your home. That was a new technology that we didn't previously have. In Q2 we launched replenish and save. Q3 wish list and Venmo just in time for the holiday season. And then, you know, as I mentioned in the prepared remarks, we've added we have a thousand stores now for ship from stores so speed is really important. You know as our investments are continuing to elevate our digital experience and this whole acceleration around personalization is fueling our performance. It's really driving both channels up and we're really pleased with what we're seeing across both stores and e-commerce. What I will say is I'll just finish by saying that there's no finish line in our technology and our advancements and the investments that we're making. And it's just great to see that our Ulta Beauty Unleashed plans and what we're investing in is really starting to come through and show on the top line sales.
Leila: Your next question will come from Anthony Chukumba with Loop Capital.
Anthony Chukumba: Thank you so much for taking my question. Congrats on a really strong quarter. I guess my first question is, I look at your comp performance on a two-year stack basis. This is the second quarter where the comp accelerated onto your stack basis. And I guess, and I know it's probably hard to parse this out super finitely, but was just wondering much of that do you think is the product newness versus the better execution in store versus the better promotions? Maybe it's a mix of all that. And it does sound like the industry continuing to grow. So how do you just sort think about that?
Kecia Steelman: Well, I think it's all thanks, Anthony, for the question. I'll start by saying that, I would say it's all of that really playing in together. And what I'm seeing is that the company is really hitting on all cylinders. We have a very clear plan, and everyone's working on the Ulta Beauty Unleashed plan and understands the role that they play. I couldn't be more pleased with what I'm seeing also from our frontline associates all the way to the senior executive team and really raising to the occasion and really driving the business. You know, I'd say that there's four areas that we're really leaning into. It's merchandising, especially this time of year, we're really focused on gifting, Fragrance, we call that was really strong. We've got a lot of holiday exclusives and newness that's driving the business. In digital, you know, our capabilities, which I just shared in the last question, They're really driving that e-commerce channel marketing. We're amplifying the ways that we're communicating We've launched our new brand equity campaign and then it's all underpinned by operations and just delivering on a great guest experience from insects to guest satisfaction and the speed in which we're delivering products to our stores. So, you know, it's the game plan working together collectively along with the team supporting it that I think is where you're seeing the momentum come. And we're going against, you know, the Super Bowl of the season here in fourth quarter and we're just going to continue to lean into our operational excellence and continuing to deliver the best results that we can have for the rest of this year.
Leila: Your next question will come from Anna Andreeva with Piper Sandler.
Anna Andreeva: Great. Thank you so much. And let me add my congrats on a great quarter. Had a follow-up on SG&A. How much of that growth was the incremental brand campaign that you guys did during the quarter? And you've talked about '25 being more of a catch-up year in terms of investments. Can you talk about if we should expect 26% SG&A to be managed closer to sales? What areas are you guys still investing in? And not sure if you can comment, how we should think about Space NK. Contribution to sales and as we think about SG&A for next year. Thanks so much.
Chris Lialios: Thank you for the question, Anna. I'll start off with the SG&A increase. As you know, we deleveraged about 240 basis points prior primarily due to higher incentive comps, store payroll, and benefit expense and store expenses and the amortization cloud-based software. As far as breaking out the advertising piece, we leverage our advertising as a result of the higher top-line revenue. And, as far as the growth of store payroll expense, we again, it's primarily due to additional selling hours to support the guest experience.
Kecia Steelman: And then, you know, we're gonna share more about our SG&A plans in March when we're gonna talk about our 2026 plans. But, you know, we understand, and I shared in the comments, this is an investment year. And we knew that and that this was what the plan was. And we look like we're gonna be hitting what our focus has been forecast has been that we've shared earlier. But we'll be able to share more about what the plans around SG&A in March.
Leila: Alright fair enough Best best of luck for the holiday.
Kecia Steelman: Thank you.
Leila: Your next question will come from Rupesh Parikh with Oppenheimer. Good afternoon. Thanks for taking my question. Also congrats on a really nice quarter.
Rupesh Parikh: So Kecia, just on the brand or I guess the innovation pipeline, exclusive brands, know last year, team was very upbeat in terms of innovation for this year. So just curious, based on your current visibility into next year, just how do you feel about the pipeline out there?
Kecia Steelman: Yeah. Thanks for the question, Rupesh. You know, our merchandising vision is to really curate and inspire guests with the best beauty and wellness assortment for all life stages. And Lauren has come in and really brought some great thought leadership and is really helping us refine the merchandising vision and brand-building strategy. What I will say is that our merchants have been hard at work in developing their plans for fiscal 2026. We have an exciting pipeline of newness and I'm pleased with what I see right now and it's balanced across the portfolio very similar to how this year was. So while we're in the midst of our planning and I'll share more specifics in March, the team has done a really nice job and they have really prioritized newness and innovation because we know how important it is to really drive this business overall. So I feel bottom line really great about what I'm seeing for 2026.
Rupesh Parikh: Great. Thank you. Best of luck.
Kecia Steelman: Thank you.
Leila: Your next question will come from Kelly Crago with Citi. Hi. Thanks for taking our question and congrats on the great quarter. Kecia, I was hoping you could elaborate on sort of your philosophy around your EBIT margin, long-term EBIT margin, of 12%. You're running ahead of that this year despite significant SG&A deleverage. Should we still anchor to that, the 12% as we think about F-twenty '6 and with that you know, you talked about SG&A and maybe finding some efficiencies. Is SG&A a source of leverage as we look forward? Or will you still sort of try to drive the gross margin and maybe invest against that? Thanks.
Kecia Steelman: Yeah. Thanks, Kelly, for the question. I will say this is a great position to be in. Because we're outperforming what the original plan was. And while our guidance for '25 now is between twelve point three and twelve point four. You know, as we're looking at 2026 we're focused on building a plan that really positions us to deliver against our long-term targets. We're still in the planning process we need to see where 2025 lands because we still have the rest of this quarter to go. But reflecting on our commitment that 2026 will not be another big heavy investment year, we would not EBIT margin next year to deteriorate from 2025 levels. Now you asked also about the long-term plan. Well, our performance, you know, is better than what we had planned. It's still premature to change our long-term growth targets at this time. We're confident that we can deliver our targets over time, but there are so much nuances that can happen from year to year. My focus as a leader is to make sure that we're building a plan that we can continue to invest in this business, remain relevant, and take share. And as you know, we have a brand new CFO starting tomorrow. And as he gets into the operations, I'm sure he's gonna have a perspective too. He and I are gonna work together along with the board to make sure that we have a long-term plan that really our business and taking market share and being a profitable business over time. So bottom line I would say that you should not look for EBIT margins to deteriorate from fiscal year twenty twenty five levels.
Leila: Thank you. Thanks. Your next question will come from Michael Lasser with UBS.
Michael Lasser: Good evening. Thank you so much for taking my question. You said there's been some debate around the start of the holiday season, Ulta's carried a lot of momentum over the last six months. Are you finding that some of the momentum is starting to fade where consumers are shopping more around events and in between those periods, got a little quieter? And does that give you pause about the need to continue to make investments in order to drive the business. Thank you so much.
Kecia Steelman: Thanks, Michael, for the question. Know, what I would say is that comp growth during the quarter was really consistent across all periods. And as I shared, we were pleased with Black Friday and Cyber Monday. You know, beauty is still a very important category for the consumer in our lives and also for shopping for their holiday needs. And Ulta Beauty is also very important to them. I'm confident in our plans and staying really focused on execution. And, you know, we're happy a lot of fun. We're working really hard on this plan. The teams having a good time doing it. We've got momentum on our side. I like what I'm seeing in the newness pipeline. I just I think, you know, we're gonna continue to play our game and continue to stay focused at keeping the consumer at the center of everything that we're doing and I just don't necessarily see that momentum changing anytime soon.
Michael Lasser: Thank you.
Kecia Steelman: Thank you.
Leila: Your next question will come from Ike Boruchow with Wells Fargo.
Ike Boruchow: Hey, good afternoon. Just I want to ask about the shrink benefits that you guys have seen all year. Any chance you could quantify it for the third quarter? Are you expecting benefits into the fourth quarter? And then I guess, that is there more tailwind to that? Or is this was this a big kind of catch-up year for you guys? I know, you know, two years ago, there were some issues you've clearly worked through. So just kind looking for more clarity there. Thanks.
Chris Lialios: Thanks for the question, Ike. We are pleased with the progress. Obviously, as we stated in our prepared remarks, there was a modest improvement. And in Q4, we expect that we've made to reduce shrink. In Q3, another modest improvement in shrink. And we do expect for the full year '25, the shrink will be lower than twenty four. We believe there's still some opportunity to reduce shrink further. But the teams are working very hard, and we're very pleased with all the initiatives that we've put in place.
Leila: Thanks. Your next question will come from Mike Baker with D. A. Davidson.
Mike Baker: Thanks. Could you discuss the competitive situation Amazon Premium Beauty still seems to be growing a lot. I think Sephora at Kohl's actually comped negative, yet LVMH's selective retail was positive. A lot of different moving parts from your competitors. How do you see the competitive situation today versus three months ago or earlier in the year?
Kecia Steelman: Thank you for the question, Mike. Beauty has always been a competitive category. And there's been consistent growth, and it's been combined with you know, attractive profit margins, There is a it's attracted a variety of players into the category. But that's what our Ulta Beauty Unleashed plan is designed to do. Is to really accelerate and amplify our differentiation, what makes us unique. You know, I will just say that we're doubling down on the drivers that we know with us having 46.3 million loyalty members. We know what our consumers are purchasing, how they're purchasing. We have, like I said, the pipeline of newness. Our merchants are doing a fantastic job of listening to the consumer. What is that they're looking for. We are the only one that really offers everything from low to lux and everything in between underpinned with services and activations and the investments that we're making in our eventing. So the experiential shopping makes us different. When you look at our e-commerce business and you see like one of the big drivers in e-commerce is BOPUS It further substantiates that our e-commerce business strength is there, but they still like coming into the store. So I do think that while, yes, it's a very competitive environment, we are uniquely positioned to continue to win and take share in the industry. So you know, like I said, I feel really great about our plans. The plans are working. We're still in the early phases of them and they're continue gonna continue to mow you know, the momentum is gonna continue to be on our side.
Mike Baker: Thank you.
Kecia Steelman: Thank you.
Leila: Your next question will come from Dana Telsey with Telsey Group. Hi, good afternoon everyone and congratulations on the nice results. Kecia, as you think of top line and you think of the categories, and prestige and mass, what are you seeing on prestige and mass? Is there a difference? And as you go forward through this holiday season, is the newness at all different this holiday season than it was last year or any way you're triangulating it? And lastly, you mentioned on SpaceNK. Bringing things here. What are you bringing? Has it been tested? How is it reacting? How do you see that moving forward? Thank you.
Kecia Steelman: Thank you, Dana. I think that might have been a three-part question. I'll try to make sure I cover all of the points. But in regards to market share, you know, prestige beauty, the industry grew in mid-single digits, and we gained share primarily driven by our strength in skin and fragrance. But makeup also increased. We're seeing steady improvements in prestige hair care in our trends. And you know what's great about prestige is that we gain share in both brick and mortar and digital channels with elevated competition even out there. And then in mass, mass grew as an industry mid-single digits in Q3 and we gained share primarily driven by strength in mass makeup. So what I'd say is that I'm really encouraged to see that our plans are working to improve our performance and really drive market share. And we're gaining our efforts are gaining traction. We're confident in our goal for plans. You know, market share is a battle, but we're staying focused on building on our successes to continue to drive sustained market share improvements. Over the long haul. You asked a little bit about SpaceNK. And what I would say is that with Space NK, it's still early. We're in the early innings, but of the things that was really attractive to us is the nuance of their ability to really have client eling and really have close relationships with their consumer be really agile. They've just now launched their app themselves It's just like I said I think this is a situation where one plus one can equal three They've figured out how to do high street really well. In smaller box locations and be really efficient with their space. I think what we can bring to them is back office operations and how did you continue to leverage the size and the scale and the operational efficiencies that we have. So it's really early still in the innings is what I would say, but we have the ability to really learn a lot from each other. I wanna protect what makes SpaceNK unique. I do not wanna turn SpaceNK into a mini Ulta Beauty. I think that's what's made Space NK so special. I think, like I said, there's learnings that we can share from them and to us and us and to them that will help us both be better in the long run. Thank you.
Leila: Your next question will come from Michael Binetti with Evercore.
Michael Binetti: Guys. Liam, my congrats. Great quarter. I'm you know, I'm still trying to get my head around the SG&A and how we got from 13% to 14% growth for the year on the last call. To 23% in the third quarter. And I think it grosses are flat back into 15% to 16% growth for the year now, I know you called out a couple of items within the 23% growth in third quarter, but I'm I don't understand if those were included in the 13% to 14% for the year previously. Or not? Just maybe help us understand the bridge there. And then you have I know you have talked a lot about SG&A a lot. And the 12% margin EBITDAR margin, but the gross margin flat for the year on a 4% to five comp I was trying to think through that a little bit and think what the comp leverage point is that you guys are comfortable with there. Is it think the last publicly available documents we saw, SpaceNK, had a gross margin profile closer to 43% for a couple of years a row, pretty stable, so three or four points higher than where you're at. Does that kind of a comp in the model lever SG&A in normalized environment once we get past some of the Space Mk impact?
Chris Lialios: Thanks for the question, Michael. There seems like there was a question there, so we'll try to tackle couple in there. Try to tackle them here. As far as space and k, so space and k does not become comp until Q3 of next year. So you will have some space and k impact year over year in the first half of twenty twenty six. As far as the the deleverage FY '25, we expect gross margin will be roughly flat again, driven by lower shrink and higher merchandise margin. Offset by the deleverage of other revenue and store occupancy costs as well as the adverse channel mix that we talked about. For the fourth quarter, expect we expect GM deleverage driven primarily by store fixed and other revenue as well. Largely reflecting our fourth quarter comp expectation. And the adverse channel mix, again, still plays into Effect there in Q4. Offset by you know, we will see some leverage in our supply chain costs.
Leila: Your next question will come from Adrian Yee with Barclays.
Adrian Yee: Great. You very much. On the end, my congratulations to stores look fantastic. Just in one this afternoon. Keisha, can you talk about the target 100 number of stores at the Analyst Day. It was a couple 100 more from the October 24 kind of anchor. And your top line is two times the sale, the rate of category growth. Next year, we're going to shed over 600 of the target x, Alta I'm just wondering, is there how do feel about the pace And has anything changed there? And then for Chris, a question just on kind of the modeling of the the kind of pricing with the price benefit that you had. And the tariff inventory hitting the income statement, should we expect more of a parity, a matching effect on the pricing actions versus the tariff impact actions starting in maybe 1Q or 2Q? Thank you.
Kecia Steelman: Thanks, Adrian, for the question, and I'm happy to hear in our stores, and, hopefully, you're shopping. I would say that, you know, we our long-term algorithm that what we've shared for new stores is we've said 1,800, and we're still confident with that 1,800 store count going forward. And then Chris Salla kick it over to you.
Chris Lialios: So on the pricing impact, obviously, we'll talk more about the impact of price increases in Q1 of q and Q2 next year in March. But as far as the price increase, in Q4, we do expect to see price increases modest price increases like we've seen in other years. And and the tariff the the inventory will not yet fully be expressed with the pressure Is that correct? So it's similar to the third quarter?
Adrian Yee: In terms of a net benefit?
Chris Lialios: Yeah. As you know, it's based on our inventory valuation method, the average cost. So it's gonna take a while for it to reach the new cost level. But it most likely, it takes about one or two quarters for it to flush through.
Adrian Yee: Okay. Great.
Leila: Thank you very much. Best of luck for holiday.
Michael Binetti: Your next question will come from Simeon Gutman with Morgan Stanley.
Simeon Gutman: Hi, everyone. Hi, Keisha. Can I take your temperature on Newness I think it's been a theme for twenty five? What are you seeing as it wraps into next year? And if you're able to, to separate, this year has been a lot of improvement. Some of it's newness. Some of it's marketing. And then you've talked a lot about early innings of some things sound like basic things that you brought, like the payment thing. So can you talk about how much internal improvements you would chalk this year up to and how much you know, more is to go in the in the future? Thanks.
Kecia Steelman: Yeah. Thanks, Simeon, for the question. You know, I feel really good about the newness pipeline that I'm seeing for 2020 The merchants have been hard at work developing plans, and that's one of the rigors that Lauren's really brought, I think, into the company is taking a look at the current year and building a plan, like, how we're gonna combat newness that's gonna be flowing next year and being really balanced across the portfolio. So in regards to newness, I feel good about what next year looks like. The second part of your question was, I mentioned early innings and that there's there's some things that I think can continue to come play. That's what I mean by that is this has been a heavy, heavy investment year. In a lot of our technology, investments in our teams. And there there's benefits to letting things marinate a bit and we've been coming off of two, what I call really high or a few high years of investment in our foundation. So for the last three years, before this last year we were investing in our ERP, our POS, supply chain, back end operations, digital, I mean all pretty much all aspects of the business. And then we had fallen behind in our go to market. So that's what happened this year we shifted more into the go to market type strategies. And so we've been it's been a heavy up investment investment year in more guest facing, sales driving, market initiatives. There is gonna be benefit to being I would say, hyper prioritized next year. We always are gonna wanna invest in the business. But we're gonna be more prioritized next year There's gonna be less investments next year, very thoughtfully done. And we need to see the benefits from some of these investments that we've made over the last few years really kind of settle in, marinate, and get the benefit from them. So that's why I'm saying I feel like we're still in the early innings is that there's major opportunity for us to continue to see these things come to play.
Kiley Rawlins: I think we have time for one more question.
Leila: Your final question will come from Olivia Tong with Raymond James. Great. Thank you, and congrats on the quarter. Your early read from Black Friday through Cyber Monday sounded promising. So wondering if you could unpack the expectations for deceleration to 2.5% to three point comp? Was there any impact from the government shutdown? Any change in consumer habits with pricing? And if you could, what quarter to date looked like? Then just thinking about the initiatives going forward, you're going into next year with a ton of momentum it seems. But curious how you think about some of these initiatives for next year to some pretty amazing top line growth this year? You already talked about the newness. But what about next twelve months versus last twelve months in international wellness marketplace, other new initiatives, the ability to continue to build those so that the contribution continues to get bigger as you comp these numbers. Thank you.
Kecia Steelman: Yeah. As I mentioned, thanks, Olivia, for the question. As I mentioned, Black Friday and Cyber Monday performance, we were really pleased with. And what I'm excited about is that we came out of the really strong business with even stronger insects than we've seen ever coming into a hot out of a holiday, peak holiday weekend. You know, while this is a challenging, this is also a very fun time. But these next nine weeks are big weeks, and there's just so much volatility that can happen. You could have bad weather that happens on a key critical weekend. You know, who knows you know, what could happen between now and the end of the quarter. So I think we're just being very prudent in our guidance and making sure that I kinda like the plan of not missing a quarter as a new CFO first year in position. So I'm wanting to put something out there that I feel like is an achievable plan and one at the team can continue to work towards. In regards to your question around you know, long term and how confident am I in that we can continue to sustain momentum. I believe that we are a company that can continue to grow share, and that's what our plan that we built is built to do. I look forward to sharing more with you in March after we finish the year and we can share what our plans are for next year. But the team's been working really hard along with myself to build a good game plan for what 2026 looks like. Like I said, we're in the early phases of that. We're looking forward to be able to share that with you all. But we've got good fundamentals in place. You know, I grew up through operations. Understand the levers that it takes to really drive a profitable retail business. And I'm committed to doing that. Alright. Thank you all for joining us today and discussing our third quarter results. We're excited about the progress we're making against our Ulta Beauty Unleashed strategy and focused on closing out the year strong. We appreciate your continued interest in Ulta Beauty and hope you all have a safe and happy holiday season. We look forward to speaking to you all again in March when we report our fourth quarter and full year results. Have a great evening, everyone.
Leila: Thank you for joining. This concludes today's call, and you may now disconnect.